Ayako Hirofuji: Thank you very much for joining us and we are grateful that investors and analysts have joined the Third Quarter Results Briefing for 2023 of Shiseido. And there are a few housekeeping announcements before we start the briefing sessions. And we may mention the outlook based -- for the future based on the information that are currently available. This is associated with the risks and the uncertainty. So please be reminded of this. And so the actual result may be different from the actual result. Now I would like to introduce Mr. Kentaro Fujiwara, the COO, and Mr. Takayuki Yokota, CFO. And I am Hirofuji from IR department, and I'll be the moderator for today. And today we would like to explain the outlook on the third quarter results and important business agenda. After that we would like to have a Q&A session. We plan to finish the whole program at 18:30, 6:30 in the afternoon. And this briefing session will be available on our website after it's ending. Now I would like to call upon Mr. Yokota to explain the 2023 third quarter results January to September and 2023 outlook.
Takayuki Yokota: Now I would like to present the Q3 2023 results. To begin please see page three. First here's the summary of Q3 2023 financial results. In the real terms, excluding the impact of foreign exchange and divestitures, net sales increased 5% year-on-year on the third quarter year-to-date and turned negative 2% in the three months from July to September. Local sales in Japan continue to recover steadily in the mid to high enterprise range mainly due to the strengthening of new product development. Sales in the Americas and Europe also remain strong, especially for global brands. On the other hand, in travel retail, Korea and Hainan Island, inventory adjustments in the distribution channel due to tightening regulations continued, resulting in low shipment levels. In addition, after release of treated water in late August, consumers were reluctant to buy Japanese products, which affected China travel retail and Japan inbound. The e-commerce ratio was 32% and e-commerce sales turned negative in the third quarter, due to the suspension of live streaming in China after the release of the treated water. Core operating income was JPY36.8 billion, although profit declined in the third quarter due to marginal decrease in profit resulting from lower sales. A large increase in profit in the first-half led to a JPY0.6 billion increase in cumulative profit. In addition, the decision was made to integrate two plants in Osaka and an impairment loss of JPY6 billion associated with this decision was recorded in the third quarter. We also issued a revised earnings forecast release today. In particular, we have revised our forecast in light of the impact of refraining from buying Japanese products after the release of treated water in China and travel retail. I will explain the details at the end of my part. And the third quarter, so next page four is P&L summary. Core operating income increased JPY0.6 billion year-on-year to JPY36.8 billion. Operating income was JPY25.8 billion, a decrease of JPY9.8 billion. In addition to non-recurring items related to transfer of the Kuki plant in the first-half, an impairment loss associated with the decision to integrate the two Osaka plants and a gain on sales on a fixed asset such as offices were recorded in the third quarter. Profit attributable to owners of the parent decline JPY8.5 billion year-on-year to JPY20.6 billion. EBITDA increased to JPY0.6 billion year-on-year to JPY75.1 billion with an EBITDA margin of 10.4%. Next page five are the results by brand. The slowdown in China and the travel retail in the third quarter impacted the overall performance, but we saw the significant increase in Clé de Peau Beauté, Drunk Elephant and the fragrance brand Narciso Rodriguez grew strongly and contributed to overall performance. Clé de Peau Beauté maintained a high cumulative growth rate mainly in Japan, China, and Europe, thanks to strong growth in the first-half. The growth was driven by success of measures to strengthen the brand, such as innovative new products and efficiency, efficacy claims, as well as the strong performance of the prestige market. NARS continued to perform well thanks to the addition of new products this year in addition to light reflecting foundation which was continued to perform well since its launch last year. Drunk Elephant also continued its strong growth momentum. On the other hand, the Asian brand ELIXIR posted negative growth due to the impact of treated water in China and travel retail, while negative growth in the travel retail offsetting the growth of ANESSA in Japan. IPSA, which continues to negatively impacted -- continues to be negatively impacted in China and travel retail, and we are working to nurture new hero products. Fragrances continue to perform well, especially the new ALL OF ME product from Narciso rodriguez, which drove growth. Next page six are our sales trends. In the third quarter overall global sales were down 2% in real terms, year-over-year due to lower sales in China and troubled retail. After the first release of treated water in late August, China and travel retail were impacted by reluctance to buy Japanese products. In addition, travel retailers continue to adjust distribution inventories due to tightening regulations in Hainan Island and South Korea. Next page seven is our Japan business. The market is definitely improving. First in the local market, the structure continues to be driven overall by growth in the low price segment. The mid-price segment was flat year-over-year through the second quarter, but slightly improved in the third quarter and it is on a recovery track. Under these circumstances we will continue to concentrate marketing investment in our core brands in the mid to high-end price ranges, which is our focus area, to steadily expand the number of loyal customers, significantly increasing the market share in the third quarter. Local customer purchase are growing steadily every quarter, and we saw the high-single-digit growth in cumulative Q3. By brand, Shiseido and Clé de Peau Beauté continue to double-digit growth in the low-10% and mid-10% respectively, significantly outperforming the market growth. The effect of strengthening product appeal through innovation and a timely launch of the new products in response to the recovery in demand also contributed to these results. Despite the hurdles posed by last year's renewal of its lotion and maker lotion ELIXIR achieved a strong growth in the third quarter in the low-10% range and expanded its market share. In addition, ANESSA captured the expansion of opportunities to go out and is firmly expanding its share in the sun care market, which is shifting toward lower priced products. Inbound growth was in the upper 20% range with high growth in July and August, but slowed in the second-half of August after the release of the treated water, especially in September, resulting in results significantly lower than our initial expectations. In the fourth quarter, we continue to see strong new products offerings which will accelerate local sales growth. Next page eight, I will explain our China business. In the third quarter, the market grew only slightly and slowed down partially due to the release of the treated water. Our customer purchases slowed down significantly to minus low-teen in the third quarter and year-to-date growth was in the low-single-digit. Following the release of the treated water, we carved overall marketing activities and managed costs such as suspending live streaming by KOL and canceling promotions of new products and e-commerce sales, especially in the third quarter, were down in the high-20% range, which was significantly lower than last year. Under these circumstances brand Shiseido struggled to post a sales decline of low-20%, even with the launch of the ALL OF ME, but the high prestige Clé de Peau Beauté grew in low-teens and NARS also performed well, posting low-single-digit sales growth. Now, slides nine. The market continued to adjust distribution inventories in response to tightening regulations, as well as consumer pullback on buying Japanese products after the release of treated water. The company's third quarter customer purchases were minus low-teen globally and minus high-teen in Asia, excluding Japan. The chart on the right shows year-over-year comparison for Hainan Islands and South Korea respectively, using the solid line for customer purchases and the dotted line for external sales. As you see from the difference between the solid line and dotted line, external sales were lower than customer purchases, meaning inventory level continued to be optimized. Side 10, the Americas, Europe, and Asia Pacific continue a strong double-digit growth. In both Europe and the Americas, market growth continued in all categories, while brands NARS and Drunk Elephant enjoyed continued momentum. In Europe, Shiseido and Narciso Rodriguez also showed robust growth. In Asia Pacific, markets continued to grow in all major regions and our company also continued to realize good results expanding our overall market share. Next is the cost ratio on page 11. The year-to-date cost to sales ratio, compared with the same period of the previous year steadily improved by approximately 2 percentage points, due to productivity improvements resulting from the shift to in-house production and the alleviation of rising logistic costs. In the third quarter, we recorded an impairment loss of JPY6 billion, due to the decision to integrate two factories in Osaka that we expect to improve productivity improvement by JPY3 billion to JPY4 billion per year after the integration in 2026. Next, on page 12, I will explain core operating profit by reportable segment. In Japan, OP improvement benefited from the higher growth profit driven by the sales growth. Although the cumulative total did not reach the black slightly, it turned to profitability in the third quarter. In China, increase in sales in the first-half of the year was a factor in the improvement, but in the third quarter, flexible cost management contributed to the increase in the profit despite the decline in sales. In the travel and retail business, profit declined sharply due to the significant impact of a lower gross profit caused by lower sales. Lastly, on page 13, I would like to explain the outlook for the current fiscal year. Given the significant change in the market environment, we will make a revision on the full-year of the forecast this time. One of the changes since August is the impact on the consumer pullback on Japanese products after the release of the treated water. This is a factor that we did not anticipate in the initial plan and that will result in a significant decrease in sales. In addition, the impact of inventory reset in travel retail distribution was already largely factored in our august in multi-billion yen level, but we anticipated the impact becomes even greater. On top of that, the recent week 11 trends shows the changes in Chinese consumer purchases behavior such as a decline in bulk purchase, due to uncertainty about the future. In light of these developments, we have revised our forecast for retail growth from 11% to 2%. Although the decline of gross profit due to sales decline will be partially offset by flexible cost management and the positive impact of yen depreciation. Core operating profit is now estimated to be JPY35 billion down JPY25 billion. Net income attributable to owners of the parent is estimated to decrease by JPY10 billion to JPY18 billion in addition to the impact of changes in the market environment this includes again in sales of profit mix assets. Next we would like to invite Mr. Kentaro Fujiwara, President and COO, to present on the important business agenda.
Kentaro Fujiwara: Now, I would like to talk about the important business agenda. So in mid-term plan, management strategy plan, we aim to achieve stable growth by shifting to a highly profitable structure through proactive investment and structural reforms. To achieve this goal, the top priorities are to build earnings space by bringing back growth in Japan and to win in China. The outline of the reform in Japan was explained in the August earnings briefing, so today I would like to share the progress to-date. Regarding reforms in Japan, we are working to change the overall business structure of profitable businesses in order to achieve sustainable growth. Based on a core operating loss of JPY13 billion in 2022, we aim to generate core operating profit of JPY50 billion in 2025 by generating JPY38 billion in growth profit increase resulting from the sales growth and JPY25 billion through profit boosting initiatives and efficiency plans. So the sales have made already progress until the third quarter of 2023, thanks to the recovery from the COVID pandemic, the launch of [Indiscernible] making new products and successful marketing initiatives investments. Toward 2025, overall local sales are projected to grow in the low-single-digits, compared to 2023. This will be achieved by concentrating on the selecting brands, while focusing on the global Asia brands where we aim for a strong growth in the high-single-digit growth rate same as this year. On the other hand, we expect to decline sales of the exclusive brands in Japan as a result of optimization, including SKU reduction. As a result, sales in 2025 are expected to achieve the same level as in 2019. In the meantime, inbound sales recovery is expected to be minus mid-20% level in 2025, compared to 2019, due to a decrease in per capita purchase amount and the shift in purchase locations by Chinese tourists, despite the positive aspects in our steady recovery in the number of visitors to Japan. Next, as measures to improve profitability by JPY25 billion, COGS improvement of JPY5 billion include SKU optimization, brand mix improvement, strategic price increases, reduction in product returns. Another JPY10 billion will achieve marketing and other expenses including streamlining of samples and promotional items, logistics operations and streamlining of IT systems. And also JPY10 billion will be realized organizational productivity improvement and optimization of human resources allocations. All of these profit boosting and cost efficiency initiatives will be implemented by the end of 2024 and the company aims to transform itself to a highly profitable structure from the beginning of 2025. Next I will explain our view on Chinese market environment. First, we assume that the impact of reluctance to buy Japanese products after the release of treated water will normalize by first quarter 2024. We will continue to closely monitor changes in the market environment, take our prompt action. Next, regarding the purchasing behavior of Chinese consumers and the market slowdown, we believe that the consumers' needs will become more essentialist with an emphasis on efficacy and that consumption will become more polarized. In terms of purchasing behavior, we believe that a discount will become the norm, bulk purchase will decline, the ratio of sales at big events will decrease, and the market will shift towards a more mature market. In the meantime, we expect to see growth opportunities in the regional cities below the Tier 3 level as the middle class expands and the trade-up and domestic international travel recovers. As for the tightening of the regulations and inventory adjustments in the travel retail sector. Inventory levels in South Korea are expected to be appropriate by the end of 2023 as a result of the efforts made since the beginning of the year. In Hainan Island, inventory adjustment is progressed and is expected to be appropriate by the end of first quarter 2024. Travel, retail business is expected to normalize to a traveler-centered market in the future. China and environment surrounding it will continue to change, but the Chinese market with its overwhelming size will remain strategically important. What is important is that in light of these market changes, we will strive to achieve stable growth by transforming our business structure to one that can generate higher profits than ever, even in the midst of change. In addition, the travel, retail channel has become a normalized channel of purchasing opportunities for Chinese consumers. We will further evolve our integrated approach to China and travel retail. The framework of the structural reform of the China business will include portfolio and marketing reforms to achieve growth in the face of change. We will identify growth areas and promote selection and concentration. Specifically, we will select brands, products, channels, and SKUs to achieve growth and efficiency. And we will continue to reduce the composition ratio of large-scale events, which we have been doing until now in order to strengthen sales during normal times due to changes in the market. In terms of growth opportunities, we will strengthen our investments in high prestige and high functionality and effectiveness and accelerate our expansion into third Tier and lower Tier regional cities. At the same time, we will strategically raise prices regularize unauthorized sales and strengthen management in order to generate stable and high profits. In the operation system, we will reduce the ratio of fixed costs to sales by optimizing the storefront structure and organization and strictly controlling personal costs, while reducing costs by localizing samples and outsourcing operations in-house. By implementing these structural reforms, we will quickly transform a profit structure while continuing to invest in marketing that leverages consumer data, strengthen our brand power, and implement locally driven innovations to realize sustainable business growth in this huge market. Thank you very much for your attention.
Operator: Thank you very much. Now, we would like to open the floor for Q&A. So those who are joining in Japanese language, please use the raise hands button at the bottom of the Zoom screen. When your name is called and the pop-up will be appeared, you will press the button of the attend as a panelist and then have your camera on and then state your name and affiliation and have your question. So it will take a few minutes for preparation. And if those joining us in English, so the chat functions and please send your questions to the chat functions. We would like to have your understanding to limit your questions of one at a time. If there is any availability, we will appoint you for the second time. So please start the -- open the floor for the questions. So please raise your hands. First of all, JP Morgan, Kuwahara-san, please. So I'm going to switch you the settings, so please have your microphone on and camera on.
Akiko Kuwahara: Kuwahara speaking from JPMorgan. Thank you very much for taking my question. Sorry it took a while for unmute me. Thank you very much for your explanation. And I would like to limit my question only one especially Japanese business. So the current situation overall you reduce the OP guidance this fiscal year, but what was the situation in Japan against your original outlook? So whether the Japan business is now expected to grow or it is not favorable as you expected originally, that is why you have to revise downward? And by the end of this fiscal year are you able to recover the situation? And also the core OP JPY50 billion to achieve and you shared the breakdown already, but in terms of the treated water impact exists and also the probability of the inbound business achievement. How likely is it achievable? And including impact of the treated water what is your viewpoint on that?
Takayuki Yokota: So thank you for that. The first Japanese situation, The local CP excluding inbound consumer purchase, better than our original expectation, they're growing quite well. On the other hand, inbound, as you pointed out, the impact on the treated water was there, compared to the third quarter. Yes, the current situation is slightly lower than our original expectation. Having said that, the growth of the Japanese market and the growth opportunity going forward. We are seeing that the Japanese business contribution is witnessed. So even the company is now shifting from a lot of marketing investment and then try to generate profit, it’s not the case anymore. So overall the structural reform that we are undertaking that will be implemented throughout next year. And of course, we should be complacent and overall costs should be reduced and need to take some actions to that. Otherwise, the profit generated from the increase of the sales that will not be realized unless we have a cost reduction. That is why we have billion JPY20 versus JPY30 billion, that was the number that we are showing this time. And then we have been preparing for that. And partially there was some good results already, but for those no structural reform, that structural reform will be ending by the end of 2024 and then after 2025 we would like to realize the profit generation. That is our plan.
Akiko Kuwahara: Thank you very much. In that case, so this year the Japan business deficit or losses still remain in the third quarter but the fourth quarter that will be turned around and put into profitability or breakeven. So this will be the baseline or starting point. Is that, is my understanding right? And also the profit boosting of JPY25 billion will be realized around 2025 in my understanding, but how it will be realized? You say that partially that structural reform is in yielding like a two -- third or a fourth at least that will be generated in 2024?
Takayuki Yokota: Well, for this year's landing point. Yes, it will be turned into break even. Yes, that will be the starting point for 2025, JPY50 billion to be achieved. So the JPY25 billion of the cost reduction effort and how it will be realized, yes, internally we are making the simulations, yes, partially that will be realized in 2024 almost, but of course that means that we will generate better than this year's profits. But part of the structural reform, we need some investment to undertake such structural reform. So for China sorry Japan business and partially China, we are trying to accelerate the structural reform. So that requires JPY20-plus billion or so, structural reform costs would be necessary.
Akiko Kuwahara: Okay, thank you very much.
Operator: Now then the next question will be taken from Mitsubishi UFJ Morgan Stanley Securities from Sato-san. Please ask your question.
Wakako Sato: Sorry. Thank you. Now, my name is Sato. Hello, so I would like to ask a question about the travel, retail. And travel retail, so this time, so the South Korea, I believe it is going as a macro economy, but the Hainan Island in the third quarter and the high 10%. So in comparison to global competitors, I believe that the assumption is smaller. And because it is small, the tight situation or tough situation may continue. But in other competitors drop by about 30%. So although you are facing the tightness of the regulation, the reduction is only around 10%. And even with the impact of the released water, the decline is only about 10%. So what is the secret? And in the first quarter, in addition to just regular travelers, and as in the case of South Korea, the number of the tourists are up by 40%, but in the Hainan Island by summer next year the business may not turn positive. So how do you see that this negative trend will end by the first quarter next year? What is the difference between yourself, the Shiseido, and the [Indiscernible]
Takayuki Yokota: Are you talking about the sellout? Okay, so this is not a case of sell-in. Then okay, okay, I see now. Well, sell-in, yes, it is quite a significant negative. How much was it, minus 60%, high 60% in fact minus. So this is reflecting the macroeconomy then or macro assumption.
Wakako Sato: Okay, I see that. So that will continue into the first quarter at around minus 60%, am I correct?
Takayuki Yokota: So in regards to the percentage, of course, we have to look into the more details. But this year from the very beginning, so as we've been saying since the beginning of this year, so last year due to the lockdown impact, the sell-in happened in advance. And for this year, we already lowered the inventory, but the sell-in and sell-out gap was assumed to be around 30 some percent from the very beginning. But due to the tightened regulations since May, well, the sell-out decelerated quite significantly. Therefore, we had to reduce the sell-out, as well so that the inventory level will be adjusted. So with that by Q1, the major negative inventory impact may be gone. However, one thing in regards to Hainan Island travel retail is now growing steadily. And one thing we have to be cautious about is the, and we need to look into further detail about, as Mr. Fujiwara also explained, the decelerated purchase behavior of the Chinese consumers. And this is something that we need to monitor closely going forward.
Wakako Sato: Okay. So this time, so JPY60 billion to JPY35 billion. So I think this mostly comes from travel retail? How much of this reduction comes from travel retail impact?
Takayuki Yokota: So, well, I kind of rounded up the numbers. So original assumption of the released water impact is about JPY20 billion and also Chinese market slowdown and also purchase behavior shift impact cumulatively about JPY10 billion. And regulation tightening and the inventory adjustment, another JPY10 billion. So altogether about JPY40 billion. But then there's a good business of other regions and also reduced marketing investment which is JPY15 billion. So then we have JPY35 billion. And so the major impact comes from September after the treated water release and also the Q4 impact. And we will look at the double 11 outcome and also the market in itself is cooling down and also it is even further down in comparison to what's happening in Japan. So this is still an early lead, but we will continue our monitoring, in particular with the Double 11.
Wakako Sato: Okay, so at the time of the anti-Japan demonstration, Shiseido recovered quickly, so I hope that we will see it again. Thank you.
Operator: Thank you very much. Next question. Morgan Stanley MUFJ, Miyake-san, please. Change the setup. So have your microphone and the video on please.
Haruka Miyake: Hello Miyake speaking of Moran Stanley. Thank you very much for taking my questions. So I would like to talk about the China business. At the end of August at the earnings briefing, you said that the treaty water and that was affecting at the early stage. You didn't, you couldn't assume the impact on that in offline, not really, but online. No, the impact, no streamlining video of the KOL. So that's the impact. But you say that offline, they are still affected, right? So from September to November, what happened? And also e-commerce impact, the commerce through KOL is suspended. Other than KOL impact, do we have any other elements that drives the decline of e-commerce? And also the marketing spending, you are trying to curve the marketing spending in China. Indeed, that because of the sales goes down dramatically so you have to put a curve on the marketing spending. It's natural, but from your original expectation you want to spend certain amount of money in line with the competitors and the handling of the KOL? Or video is now suspended and also the China clients or China other players are trying to increase their market share there's an opportunity from their perspective, but having said that what is the change in China business in the past two months? And how are you going to address the situation? And what is your future plan as well?
Takayuki Yokota: Thank you, Allow me to answer. Starts September to October, what happened during those two months. So the treated water release begun and then retailers and KOLs find it difficult to promote our products, that's the first reaction. In parallel, the consumer mindset or sentiment, we have been monitoring carefully about their mindset as well. For that, it's now settled quite early in our monitoring and it was really favorable for us, but that was not supported by the KOL and other retailers' behavior. So that was the result in September, October. And as a result, our marketing spending went down. So that's the kind of impact overall. And we were not able to have a good promotion in the past two months. But the second release of the treated water, there was the -- not really big negative impact. And then all the people or consumers were very silent, I would say. And then that's the now we are running the Double 11 promotion. And then regardless of the treaty water release, especially the overall Double 11 promotion and its trend is much lower than our original expectation that is the reality. And then on top our brands is of course made in Japan brand or made in Japanese brand so that is affected negatively by the treated water as well. In terms of this treated water release, this impact is temporarily impact, negative impact in our view. And of course, in the past several times we had experience, you know, Japan bashing type of approach happen in China, but I assume that around the first quarter, this negative impact this time will be alleviated. And next is the reduction of the purchasing behavior of the consumers in China. We do not anticipate that, you know, we were also anticipating that there should be some stability in the consumer behavior to be settled, but that timing was a little faster than our original thinking. So we need to take that into our account in taking on our structural reform initiatives next year. And then this 1.4 billion people there will not be gone, but there are some growth area and the negative area and there are some ups and downs and then overall we see some impact. And in terms of the growth potentials should be identified clearly from that differences and what we are seeing is that the high prestige brands are growing. And in terms of the products, you know, efficacy or real authenticity, those products are well received. Specifically speaking, cream, high price creams are well received. So that is a product that is well received by the market still and also the consumers. Young generation consumers were affected by this economic situation, but the 35 years or older, those are the customers who are not affected by such economic changes and also the Tier 3 and lower, those are not affected. So where do we have the growth opportunities? We need to identify that clearly, and then we need to allocate our efforts and resources in the brand allocations or brand portfolio. Thank you.
Haruka Miyake: Thank you very much. In that case, so the investment was not at all reduced, but you are trying to concentrate in some of the spending in investment. And then this time the marketing spending was now reduced. Eventually that would bring down all the market share reduction and then you have to spend more money to recover the situation that happened in the past, but this time it's not the case. And then you are not having, you are making the focused type of investment.
Takayuki Yokota: Yes, temporarily if we spend less marketing spending or sometimes if we spend on the marketing spending, we were not able to have a good result. That was the situation in September, so we suspend marketing activities. But this time we now understand that this impact was a temporary and then it's not the real of the Japan basting type of approach.
Haruka Miyake: So okay so the China business profit that you were thinking at the midterm plan, there were some risks that sales may go down. That is why you wanted to implement that structure reform in China. Is that the right understanding?
Takayuki Yokota: Yes, that your understanding is correct.
Haruka Miyake: Thank you very much.
Operator: Next question is from SMBC Nikko Securities. Mr. Shima Yamanaka. I'm going to switch your microphone, and so please switch on your camera as well. Thank you.
Shima Yamanaka: Yamanaka from Nikko Securities. Thank you very much for the briefing. Earlier in the first question, there was a mention of the JPY25 billion profit improvement for Japan and JPY20 billion of the reform cost is to be budgeted. And so can you give us more breakdown? And in terms of the timing of this cost, it will be the fiscal year 2024. And this will be a reform associated with the cash out. So optimization of human resources is of large quantity, am I correct to see that? Or was there -- will there be the optimization of the production side or the brand reorganization? How will the cost will be spent for the -- through the structural reform as much as you can share with us?
Takayuki Yokota: So this number JPY20 billion is our current assumption of the reform cost and going forward we need to look into further breakdown and attain more accuracy. But then if 2024 will be the year in which we will -- we shall strive to complete the structural reform. So the necessary cost will be incurred. And therefore, in regards to this structural reform, by the end of FY 2024, we will end it so that from 2025, we'll have more sound and robust management structure. So I will not be able to share with you the specific breakdown today.
Shima Yamanaka: Okay, understand. Thank you very much.
Operator: Next, UBS security is Kawamoto-san, please.
Hisae Kawamoto: Kawamoto speaking from UBS. Kawamoto speaking from UBS. Thank you for your explanation. Do you hear me?
Takayuki Yokota: Yes.
Hisae Kawamoto: Thank you for taking my question. So in this revision, the third quarter, the downwards revision until the third quarter, and also the up look for the fourth quarter. How much have you incorporated this JPY25 billion breakdown of the third quarter and also the fourth quarter outlook? And then why the profit reduction is quite large, compared to the reduction of the sales? Are there any other elements? So originally 9% and 12% that was your original margin target, but what is your perspective? And in the structural reform you said that personnel control organizational productivity improvement and so forth. I think you would like to implement all those structural reform by the end of 2024. So can you please elaborate on that?
Takayuki Yokota: Okay, so your first question, is that the first-half versus the second-half, right? First half, JPY10 billion, that was our profit and the core OP was improved and minus JPY35 billion in the second-half. So as a result full-year JPY25 billion minus, that is a full year basis. So, in terms of the midterm plan targets, what we are seeing now is that there are some impact on the temporary impact and also the structural impact. So, there are some differences. So, we need to identify temporary impact and also the structural impact. And especially the China business for the structural element, we need -- we take actions at the earliest, so that 2024 we would like to undertake such a structural reform and 2025 will be the year that we will have a further growth. In terms of the organization productivity things, allow me now to answer to your question.
Hisae Kawamoto: Well, for the second-half, you said that that minus JPY35 billion. So what was the breakdown of the third quarter and the fourth quarter?
Takayuki Yokota: Well for that, there were some phasing of the expenses. It's too complicated. I appreciate you take not the quarter basis but the six month basis.
Hisae Kawamoto: Okay, understood. But the fourth quarter, if I take a look at your slides, travel, retail or China business, I would go down. So I think that will be the bottom. Is this the right understanding because the figure in the fourth quarter is very low?
Takayuki Yokota: Well, it's not the minimizing or reaching the bottom, but we are seeing the very possible outlook based on the possible outlook we show this figure.
Hisae Kawamoto: Understood. Thank you.
Operator: Next question from Mitsubishi UFJ Trust Bank [Indiscernible]. Yes please. I'm going to switch to you, to over to you. I'm very sorry. There's a system trouble, please wait a moment. [Indiscernible], let me give you the opportunity to ask question next. And now I would like to invite Hirozumi-san from Daiwa Securities to ask questions. Ask questions.
Katsuro Hirozumi: Hello, can you hear me?
Takayuki Yokota: Yes, we can hear you.
Katsuro Hirozumi: Can you see me now? Hello, can you hear me, okay.
Takayuki Yokota: Yes, we can hear you. Thank you.
Katsuro Hirozumi: Just one question. Page 16 and 17, 18. So about the likelihood of this evolution. And so is this highly likely? So JPY10 billion and marketing and other expenses and other organizational productivity, JPY10 billion and basically, page 16 is something that I'm concerned about. So this is JPY38 billion gross profit increase. How likely is it to happen? And also how much is the revenue arriving at this gross profit increase of JPY38 billion? And also in 2025, target of JPY50 billion, how confident are you to achieve this target?
Takayuki Yokota: First of all, about the JPY25 billion, let me start with the cost. So yes, this is the build-up of all the elements, relevant elements. So this is just a rough breakdown. But in regards to this JPY25 billion, this is something that's manageable with our own will. And when it comes to cost, as you can see here, it is not simply about the product mix and SKU reduction, which gives us the more accurate picture of this amount. And next about the revenue or the sales, as you can see, we will divide into the local and inbound. As you can see in the upper box, the local sales, we will see the double-digit growth this year. However, from 2023 and after the local market, the sales growth will be the high 10%. The reason is there are some powerful brands and we will keep on our focus on the powerful brands, but other than that we will optimize some Japanese brands and we are envisaging some reduction in profit. So net, this is going to be the low-single-digit for local. But the inbound In comparison to 2019, it is going to recover to mid-20%, so that's what is reflected in this assumption. This is a wishful, it is not a wishful thinking of a high top line, but, and this is, so there are some reduction in the revenue being incorporated for the ones that will go through some reform.
Katsuro Hirozumi: So I may sound tough, but if, what can, do you think can drive the revenue down in addition to your assumption?
Takayuki Yokota: Well, it is difficult to answer for the unforeseeable factors. Now 2023 is coming to an end and the new product launches forecast for 2024 and 2025 already exists. So we are confident with these new products in 2024 and ‘25, the only factor may be our assumption on the inbound. And the other thing is the structural reform incorporating the reduction in the revenue, but the reduction in revenue may happen more widely or more significantly than we currently assume. So of course we need to keep a close eye on the transition. And the decline, when you compare the decline in the revenue at this point, and also the future growth of the business, we must go through the structural reform. So with some sacrifice with the structural reform, that is a priority for us to have a better future.
Katsuro Hirozumi: Understood. Thank you very much.
Operator: [Indiscernible] Mitsubishi UFG Trust. [Indiscernible], apology for earlier technical trouble. Please search your question with the microphone and video on.
Unidentified Analyst: Hello, [Indiscernible]speaking from Mitsubishi UFJ Trust. Can you hear me?
Takayuki Yokota: Yes.
Unidentified Analyst: Thank you for your thorough explanation. I am a fund manager, so my question is about earlier you explained Japanese markets, so I understand the structure now but the current issue you are facing is not from Japan but it's occurring globally and then you have to cope with such challenges. And on a consolidated basis you have to manage your company and the current macroeconomic outlook was deviated from your expectation then you have to undertake some structural reform at the early stage, especially for the global arena. If you have any kind of thinking, can you please share? Because the top line cannot be achieved and then the cost reduction impact will be realized in 2025, that means that 2024 would be very, very hard year in my view. So what is the sense of urgency to see such a very poor aspects from the 2024? What is your perspective on that?
Takayuki Yokota: Well, the global business, I think the same principle will be applied because the Japanese structural reform, what is the issue is that the sales will not be generating good enough profits and then the top line is increased, but still we cannot achieve a margin because of the big cost structure. So that is the issue. And globally, and we are also undertaking the structural reform in China. Certain level of the profit is generated under the current structure, because we already undertook the structural reform. But going forward, we need to have more flexibility and secure our profitability under the Chinese structure. So that is what we need to do. Therefore, we would like to implement another round of the structural reform. And we are also taking the EMEA region, like Europe and the U.S., we would like to concentrate in the more focused brands and as a result we are seeing a very good result in some of the very strong brands. So and that would reinforce and then also accelerate the company profitability. So that is a really good cycle and that will lead you to the structural sustainable growth of a business, that is my understanding. And the structural reform, of course we are focusing on the domestic business, but this time consolidated basis you have to recognize the downward revision and if the company structure is not leading to the profit generation, then you need to undertake further structural reform. I'm sure you do have many initiatives that you can take going forward if necessary. Indeed, if there is any further reforms necessary, yes, we need to do that. And what happened in China, that negative impact was not really compensated by other businesses that was a problem. And because of that, the huge market potential in Japan that has to be generating and lead the global business. And that will be the overall company's structural reform. And especially, EMEA region will be riding good situation at the moment. So overall we would like to take a good balance with the structure reform in Japan.
Unidentified Analyst: Yes, I expect the impact will be realized at the early stage and my request is that as Kawamoto-san said earlier that your net sales goes down and then the profit would be also further down. So that kind of explanation or stories must be fully explained. Otherwise, marginal profit goes down and then the overall sales goes down. You know what you have even though it is the consolidated earnings report, if you don't have a proper explanation, we find some of the skepticism in the market, so I just want you to explain thoroughly about that.
Operator: Thank you. Now it is almost time to close the briefing. So next will be the last question. Ohana-san from Nomura Securities, please.
Yuji Ohana: Hello, my name is Ohana from Nomura. Thank you, so about the revision of the full year plan, I would like to make a confirmation. And so when we look at the first quarter, Japan will see the increase of the profit by 24% and China embedded is down by 20%. The travel retail is down in profit by about 50% in the first quarter. And in Japan up to the third quarter it is the growth of mid-10% and so how will it recover to this level in the fourth quarter and also for China travel retail there's been explanations. So what will be the right assumption for the fourth quarter in China and travel retail? And also in regards to the operating profit, so this -- so deducting the less profit reduction, so am I correct to understand that there's no one-off accounting booking?
Takayuki Yokota: So let me try to answer. So for Japan, growth, high growth level into the fourth quarter. So the local revenue is, as explained earlier, is going quite well. So every quarter we are seeing a growth in Japanese market. And also in the fourth quarter, there'll be large scale innovation being planned. So this will accelerate the growth further. And the local customer purchase is likely to grow. We will push it to grow to the high-10% level. And for inbound, to a certain extent, from October onwards, there will be the Chinese Golden Week bringing more travelers and yes we did see a dip in September, but is recovering into October. And if it continues into November and December, inbound is likely to grow into the fourth quarter as well. And so this is the background of our assumption of the growth in Japan market in the fourth quarter. And in regards to the travel, retail, the fourth quarter is significant negative and due to two elements, the South Korea PR and also Hainan Island and partially impact of the treated water release and also the regulation on the inventory -- causing the inventory adjustment is being prolonged. And for South Korea, the inventory level will be in the realm of about two months. And for Hainan Island, as of end of this year, the inventory level, the retail, well, inventory will be around four months worse. And therefore, until Q1 next year, the Hainan Island inventory adjustment will continue. That's our assumption. Therefore, the heaviest negative aspect will be the Q4 travel retail, as far as we see at the moment.
Yuji Ohana: Thank you. Thank you very much. And what about operating profit? So there's the reduction of the profit and also the cost reduction being a car case. So there's no one-off impact then.
Takayuki Yokota: Yes. As I said, for the most part with the treated water release, there's about JPY20 billion and Chinese market decline. And also the changes in the purchase behavior is JPY10 billion. And tightened regulation causing the inventory adjustment, another JPY10 billion. And also there's a top up from other regions and plus cost saving and marketing cost reduction, so it's a JPY35 billion altogether. And so the major one-off costs such as structural reform, it will not be included in the core operating profits. So this is excluded from the core part. So the third quarter, we explained about the impairment for the integration of the two factories in Osaka. This is also booked separately and also JPY10 billion operating income from the sale of the building is also outside of the core operating income.
Yuji Ohana: Thank you. I understand now.
Takayuki Yokota: Thank you very much.
Operator: Now, with this, we would like to finish Q&A session. At this, we would like to finish the briefing for the third quarter result. Now the IR department will send you the questionnaire following this program, so please fill in the questionnaire to send it back to us for future improvement of the briefing sessions. Thank you very much once again for joining us out of your very busy schedule. Thank you.